Denise Garcia: Good afternoon, and welcome to eXp World Holdings' Second Quarter 2024 Earnings Fireside Chat via live stream and our metaverse on the web, Frame. My name is Denise Garcia, and I manage Investor Relations for eXp World Holdings. Today, we will begin with our earnings fireside chat with prepared remarks from Glenn Sanford, Founder, Chairman and CEO of eXp World Holdings; and Leo Pareja, CEO of eXp Realty; followed by a review of the second quarter 2024 financial highlights presented by Kent Cheng, Principal Financial Officer and Chief Accounting Officer of eXp World Holdings. Following our prepared remarks, we will open the call to a Q&A session with eXp World Holdings covering analysts and questions submitted to eXp in advance. Let's begin with a review of the forward-looking statements. There will be a number of forward-looking statements made today that should be considered in conjunction with the cautionary statements contained in the company's SEC filings. Forward-looking statements are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Please see our filings with the SEC, including our most recent filed annual report on Form 10-K and quarterly reports on Form 10-Q, for a description of specific risks that may affect our business performance and financial condition. We assume no obligation to update or revise any forward-looking information. As a reminder today’s call is being recorded and a reply will also be made available on expworldholdings.com. Now for a few logistics and then we'll get started. For those of you joining in frame today, welcome to our Metaverse on the web. To zoom into a specific screen, you can click on that screen and then click zoom in. If the content on that screen disappears or if you lose audio, simply refresh your page. While in frame, if you need help, just use the help button on the bottom right to link with tech support. If you wish to ask a question during our presentation, you can enter your questions by scanning the QR code presented on this screen with your mobile phone or go to slido.com and type in the event EXPI. From there, you can submit a question or vote up an existing question by giving a thumbs up. If you'd also like another question asked. This screen will remain up on the right-hand side of the stage throughout our presentation. Now I'll turn the fireside chat over to our speakers before opening the call to questions. Glenn, you may begin.
Glenn Sanford: Thanks, Denise, and thanks, everyone, for attending this Q2 earnings call. Obviously, what we're doing here is really iterating on the agent value proposition. That's what we talk about all the time at eXp. And really, we've got a unique overall platform that focuses on personal development, helping agents sell more property. Obviously, we have Success Magazine, which is tied into that personal development side of the business. And then we've got companies like Frame, which is obviously the Metaverse that we're in now. But all of this is really designed to help us as a brokerage scale around the world. You'll notice like in the next slide, in Q2, our NPS, our agent Net Promoter Score actually increased from 72 to 76, which is world-class to say the least, and this really reflects our investments in services, faster payments. We've got platforms like revenues, our global referral network that's actually starting to take shape, how we're approaching international, which I'm actually more involved in now for obvious reasons. Some of you may know about some of the changes there. But we're really focused on what -- how do we improve the agent value proposition because we do know that NPS is a leading indicator for both our future growth retention and retention, which ultimately translates to sort of long-term financial viability of the company. Real estate sales transaction increased by 1%. Revenue grew by 5%. And really, that was driven by a 6% increase in our overall agent productivity, which is pretty amazing to see our agents producing more in a difficult market. We have productivity gains from providing more tools and incentives to highly productive agents. I know Leo is going to talk a little bit about -- I think he's going to talk a little bit about [Indiscernible] a really cool program relative to our REVenue Share 2.0. That's again, geared toward attracting productive agents and at helping agents during their first year really outproduce maybe where they would have normally because they've got more encouragement from their upline and some other things that go along with that. But we're really positioned to capture growth around the world. Internationally, revenues jumped by 69% year-over-year. There was strong performance in both sales, volume, productivity. Our agent count really didn't change a whole bunch overall, but that's because a lot of our agents that were in international in the sort of initial launch into international. We're nonproductive. We actually changed it to looking at agents who have 2 years or more experience are the ones that we're actually bringing over to eXp now, and that's really changed the trajectory internationally. You'll obviously notice that our losses are reduced over previous time frames. But really, it's an untapped opportunity when we look at the fact that there's likely somewhere around, it's hard to track the stats, but there's likely around 20 million plus real estate professionals in the markets that we want to compete in over time. And so if we really think about that as our target market, and we get to a similar size that we are in the U.S., that's almost 1 million agents worldwide that could eventually be on the eXp platform. So we're really excited about that long-term we'll just say, 10-year vision of where we're going. And actually, even more recently, I'm actually working directly with the international team, bringing a lot of the start-up culture into international personally and working with various team leaders, country leaders, our existing amazing team that we've got growing international. But as I've mentioned in previous calls, this is really important to me. And between going to Lisbon in June for our first EXPCON internationally to take another trip there in September to work with some of our international team in September, October. We're taking a lot more hands-on approach to international growth. We also launched just Elevate coaching, which is really an extension of our EXP University and mentor programs and we've launched that also. And then we -- the global agent referral platform is amazing how we're able to -- because of our size, be able to share both consumers that are looking to buy or sell real estate and also sharing properties on an international basis, especially when you get to that luxury market, where the international luxury buyer could be looking at multiple countries around the world for opportunities. So really a lot of unique stuff that's going on around that. And then with that, let me go and turn it over to Leo, who will walk you through some of the second quarter highlights in North America. Leo?
Leo Pareja: Thanks, Glenn, and thanks for everyone for joining us today. I'll start off with our Q2 performance compared to the industry. Last week, we saw June home existing sales at a low point for 2024, down more than 5% year-over-year, month-over-month. This downward pressure for Q2 home sale transactions in the U.S. which were down nearly 3.5% year-over-year. Despite the industry being down nearly 3.5% eXp Realty is only down 3%. Year-to-date, the industry is down slightly more than 3% and over last year, while eXp is basically flat by being down less than 1%. I truly believe that our market share gains are a reflection on the quality of agents and talent we're attracting to our company. Kendall Bonner joined eXp Realty as a VP of Industry Relations, who has recently named 2024 Housing Woman of influence Tonami TV host and real estate expert has joined eXp during that quarter. And 44% of our agents made the list for the 2024 Real Trends and – thousand awards which has the 5 top -- 500 top agents and 500 top teams in the U.S. by transaction and volume count. We recognize that in order to maintain the highest quality agent base in the industry, we constantly have to iterate on our agent value proposition to remain the most agent-centric brokerage on the planet. During last earnings call, we announced REVenue Share 2.0 in the first 60 days of the program. We paid out nearly $7 million in real-time revshare. During Q2, we also launched our global referral program, which extends the reach of all of our agents to our additional 22 international markets, so agents can find partners across the globe and across the ocean to expand their business. And more recently, we launched Fast Start attraction bonus program, July 1 and which offers direct upline sponsorship of a 50% payout on the revenue share pool on all qualifying Level 1 transactions for an agent joining their first year at eXp. Some of the initiatives we started last year have really started to gain traction. Some of the ones I'm most excited about, I'll share about eXp exclusives, which went live late last year has started to gain traction and really add a value proposition to our agents as we navigate this low inventory environment in this changing landscape. Express offers, which we rebooted and with a partnership with Opendoor led to over 2,300 property submissions to open door alone in Q2. eXp luxury, our platform that provides agents with tools and resources to increase their production, increase the number of agents by over 130% year-over-year. We're seeing higher adoption rates for training and educations, which increased 127% in attendance year-to-date for 2024 compared to 2023 for the same time period. Paying out our real-time payment program we launched in order to pay folks faster, which is particularly important in these times where agents are closing fewer transactions is taking off like wildfire. We're happy to see our agents take advantage of the kind of programs we've created in order to help them lead more productive lives and make their businesses run smoother. We've discussed our significant opportunities to see an agent improvement productivity with integrating AI technologies across our entire enterprise. We have an enterprise license with open AI that we're leveraging with ChatGPT to increase our staff productivity. Our staffs had more than 1 million messages in Q2, up 108% from Q1 of this year by leveraging AI to become more productive internally. The Task Center has also aided the completion of over 710,000 tasks of agents, invoices and transaction documents across 5 different operational teams and 15 different role types year-to-date. We continue to leverage HubSpot technology to service agents, and we've closed over 1 million agent tickets worldwide in Q2. And most recently, we replaced Rebel with the web-based frame technology that we're all using right now to make it faster and easy for our staff and agents to collaborate online and has been wildly popular with more than 1.1 million visits in the first half of 2024. We're really excited to continue the integration of cutting-edge technology solutions on our platform, the long-term opportunity AI could represent as we continue to seek operational efficiencies, which I'll discuss on the next slide. This quarter, we reduced our SG&A expenses in North American Realty by $4 million over last year. At the same time, we reduced our cost per transaction in North America Realty by nearly 10% year-over-year and improved our operating efficiencies, increasing North American adjusted EPA by 13%. For an update on the real estate market, we have been providing as much education and tools through our regional rallies, virtual meetings and as many places as we can communicate with our agents. Our buyer representation toolkit, which includes the buyer-broker representation agreement that the CFA recently recognized is much simpler, clearer and pro consumer than any other agreement that's been created recently is something we've open source. So all agents in the industry have access to what's being considered the best-in-class documents in order to make this transition as smooth as possible, which will go into effect on August 17. Many people have asked me how this will impact the number of agents and market in the process. First, buyers have the option not have an agent represent them just like they did in the past, but most have chosen to hire an agent because the process is very time-consuming and complicated than most people understand prior to engaging with an agent. My opinion, buyers will still choose representation and we'll continue to need expert guidance throughout their process. After August 17, we'll likely experience an adjustment period, which I've been calling on several formats and stages, the messy middle as both agents and consumers adjust to the new rules of engagement. With that, I'll turn the call over to Kent, who will walk you through our financials, and we'll open the call up for questions.
Kent Cheng: Thank you, Leo. As we review our performance for the second quarter of 2024, I'm pleased to highlight several key metrics that underscore our progress and strategic initiatives, thus far with our aged Net Promoter Score or aNPS. This quarter, we achieved an aNPS of 76, which is a 4-point improvement compared to the second quarter of last year. This increase is a direct result of our continued investment in operational support for our agents and the enhancement to our technology platform, the Leo and Glenn discover discussed earlier. Moving on to our agent network. Our agent income increased 2% sequentially from the first quarter to the second quarter. On a year-over-year basis, our Q2 agent count declined 1%. This reflects both the challenging market condition and our strategic decision to over a significant number of unproductive agents in the U.S. during the last few quarters. This move is aligned with our focus on enhancing overall productivity and efficiency. Turning to our other operating metrics. Real estate sales transaction unit grew 1% year-over-year. This growth is not only a testament to our teams hardware, but also indicate that we are outperforming the industry and continue to gain market share in the U.S. Realty cost per transaction decreased 8% as we began to leverage the knowledge to eliminate time consuming manual processes. We believe we are among the most efficient company in our industry and we remain focused on reducing our cost per transaction moving forward. Now let me discuss our financial metrics. I'm happy to report that our revenue for the second quarter was $1.295 billion, a 5% increase year-over-year. Our Q2 revenue growth was due to higher real estate sales volume and an increase in agent productivity, which I will detail in my next slide. Second quarter adjusted EBITDA was $32.9 million, up 22% year-over-year driven by higher revenue and lower SG&A expenses relative to the prior year quarter, thanks to solid execution across the company, I'm pleased to report that our $20 million profit improvement plan remain on track. Moving now to our Q2 expenses, general and administrative expenses were $61.2 million, down 6% compared to the second quarter of 2023, primarily due to cost containment initiatives partially offset by increased legal expenses related to the antitrust losses. Our GAAP net income from continuing operations for the quarter was up 4% to $11.8 million year-over-year. In spite of a 44% increase of operating income due to an unfavorable higher tax rate on ongoing operations, including its continued operation, net income would have grown 31% and to $12.4 million in 2024 compared to $9.4 million in 2023. Moving on to cash flow and capital allocation. Q2 adjusted operating cash flow was $60.4 million, and we repurchased $48.2 million of share during the quarter, demonstrated our commitment to shareholder return. On the next slide, I will provide some detail about the driver of our revenue increase for the second quarter. This chart shows the driver behind the increase in revenue from the second quarter of 2023 to the second quarter of 2024. In Q2 2023, our revenue stood at $1.231 billion, as shown by the bar on the left. For the second quarter of 2024, revenue increased to $1.295 billion, as indicated by the bar on the right, marking a year-over-year increase of $64 million or 5% increase. This increase was primarily fueled by significant gains in our North America Realty segment, which includes the U.S. and Canada, contributing a $55 million revenue growth. The International Realty Segment also saw a rise contributed an $8 million revenue increase. Let's dive deeper into the North American Realty segment. Our U.S. agent base, excluding referral agent decline and actively impact our revenue by approximately $51 million. U.S. home sales in the second quarter 2024 declined 3.4% year-over-year, which pressured our agent production. We estimated the decrease of overall real estate market reduced our revenue by $37 million. However, these market declines were more than offset by gains from several areas in our business. Relative to the performance of the real estate market, an increase of agent productivity over prior year added $81 million of revenue. Higher home sales prices contributed incremental revenue of $55 million. Additionally, our strategic focus on expanding our lease, referral and other ancillary services brought an extra $7 million top line growth. On the next slide, I will discuss the financials for each segment in more detail for the quarter. The North American Realty segment continued to be the primary driver of both revenue and profit for the company. Segment revenue was $1.275 billion, a 5% increase from prior year due to increased real transactions and home sales prices despite a challenging residential real estate market. Adjusted EBITDA was $38.5 million, a 30% increase year-over-year due to improved business efficiency and reduced cost. International Realty segment revenue was $20 million, an increase of 69%, primarily due to increased real estate transaction driven by improved agent production in previously launched markets. Adjusted EBITDA loss was $2.4 million, a 37% improvement from prior year due to increased revenue and cost reduction initiatives. Other affiliated services, including frame and success contributing modest revenue and adjusted EBITDA loss. This slide highlights our strong Q2 performance across key operational and financial metrics, which I have detailed in the previous slides. Looking ahead to the second half of this year, according to the latest NAR existing home sales, June saw a 5.4% decline in existing home sales for May reaching a seasonally adjusted annual rate of 3.9 million units. Sales also fell 5.4% compared to the same period last year. We anticipate this downward trend in the U.S. existing home sales to persist in the next quarter, barring any significant macroeconomic shifts. The current uncertain real estate market have promised us to adopt rolling real-time projections to enhance our agility and entrepreneurial approach in business management. We plan to continue to invest in our international market and agent grow initially to boost our production in the U.S. Our gross margin percentage for the second half of the year expected to be generally consistent with a typical seasonal pattern and last year's performance. In conclusion, I'm happy to report another quarter of solid execution, which gives us well positioned to capitalize on accounting market growth opportunities. We continue to gain share one real estate market terms and recovers positively. With that, I'd like to turn the presentation back to Denise who will facilitate the Q&A session. Thank you.
Operator:
Q - Denise Garcia: Thanks, Kent. I'll kick off with the question for everyone on the team before we open the call to our covering analysts. First, Glenn, I'll start with you. Where are you spending most of your time? Where are you most focused?
Glenn Sanford: So thanks. So for the last couple of weeks, especially, and it's actually something I've been focused more and more time on. I mean actually focused on the international side. We actually had our first international EXPCON in Lisbon, Portugal last month so that we -- which was well attended from agents, especially in Europe, when we had some agents come over from other parts of the world as well and had a lot of good meetings. I know that we ended up bringing over one or two good-sized real estate teams for meetings at Leo and I were part of Felix and others. So that was really positive. And here in the last two weeks, I've actually been working directly with the international team, building a bunch of new systems out to help us grow and then refreshing the agent value proposition in a number of countries, which I think is being super well received by both our country leaders and our agents on the ground. So pretty exciting to work on that. And so I'm also going to be heading back in September attending a large international MLS meeting actually in Milan. I believe, in October. And then we'll have a number of meetings in different parts of Europe. So that's leading up towards EXPCON. So that's a little bit of what I've been up to. And that's why actually my focus is. Many of you have heard me talk a ton about the future of international. I think we're couldn't be more excited about it. And just rolling up my sleeves personally every single day on that has been good for me, but I think also good for the team at large.
Denise Garcia: All right. Next question for you, Leo. Can you discuss what drove the quarter-to-quarter increase in agent count?
Leo Pareja: Yes. So we did a very strategic acquisition of Realty Connect, which is a limited function referral company. So we did it for multiple reasons. It's going to be a great tool for retention as a very real number of agents at large in the industry are contemplating or choosing to get out of the industry, especially with the changes coming from NAR. So we wanted to have a vehicle for -- to retain these licenses. And the company has a really interesting model where it actively drips on these agents databases to get them. I think their per-person productivity is like 0.5, which is actually higher than most referral companies through a proprietary CRM and generate very good high-margin referrals for our active agents. And then hopefully, we can boomer them back if they choose to get back into production actively. And the great thing is that they're also -- it's a brand-agnostic brokerage that attracts referral agents from all diversity of brokerages. And also, this is a very high-margin business, right? There's very low operational cost to it as it's all of the transaction and processing of the transactions would happen at eXp Realty at the core. So it's a nice little business that makes very good sense tucked into our core business.
Denise Garcia: All right. Thanks, Leo. And one for you, Kent. Can you discuss the second quarter gross margin and your thoughts on gross margin for the remainder of the year?
Kent Cheng: Sure. As you know, we are primarily focused on revenue and adjusted EBITDA as key financial measures. But it's worth noting that in the second quarter, we have more agent reached their cap. We're also investing in our agent and gross profit, including stock-based compensation and revenue share expenses as our under Slide 27 in the fireside chat presentation. Excluding these expenses our non-GAAP gross margin was 12.8% in the second quarter. Year-to-date, non-GAAP gross margin percentage is 13.3%. Given our current team of highly productive agents. We expect additional agent to reach the cap in the second half. We will continue to invest in agent in the third and fourth quarter. We anticipate gross margin in the second half. You follow -- we follow a typical seasonal pattern and be approximately similar to the back half of 2023.
Denise Garcia: All right. Thanks, Leo. So now I'll open the call up to our analysts on the left-hand side of the stage. I'll take the first question from Tom at D.A. Davidson & Company. Tom, I think you have a question. You want to go ahead.
Thomas White: Yes, great. Thank you Denise. And thanks for taking my questions guys. A couple, if I could. I guess I just maybe on the following up on the Realty Connect. Can you just -- was there a specific number of agents that kind of came over? Are they all domestic agents? That's sort of my first question. And then just maybe like stepping back on kind of the domestic business, I don't know, maybe just it'd be interesting to hear your latest view on how you're feeling about the competitiveness of your value prop and the overall kind of appeal of the platform versus some of the kind of smaller guys that have copied your model in recent years. Like why does an agent today, do you think -- what are the main reasons that they choose eXp over one of the other guys? And then I had a quick follow-up.
Leo Pareja: Yes. So great question. So the first is the sizing, I think it was roughly 2,900 agents just to answer your first question. And secondly, overall, I think I've talked to on other calls. There's endemic churn that's inherent with the industry. So agnostic of brands, there's churn component that hits everyone at scale. So the denominator is bigger. Obviously, adding at the top of the funnel has pressured because of there's just kind of a natural attrition that exists, whether agents get completely out of the business or they or they go to a competitor. So overall, based on the downward pressure at scale, I think we're actually doing great with the teams that we're attracting. And I'm not sure who saw the press release on that team out of Missouri that just joined us, 100 transaction team. They'll probably be our number one agent for 2024. Our number one team in production wise, and this is the type of team that was able to interview and I know they did all of our other competitors. And some with the Metfedic [ph] team that joined last week, and we have another announcement coming next week, where tough producers, folks that do this at a very high level, are actually asking very detailed questions about profitability, sustainability, operations and we're continuing to see the highest level of operators, join the company that they feel has longevity, sustainability and it's not a startup. We are in turbulent times in our industry. There is a lot of ships coming. And I think having a scaled platform that has already gone through all its pivots and terms, makes a big difference. And to Tom to think that it's a slightly cheaper version, the only decision tree, I think, is not how most professionals and consumers shop and make decisions agnostic of industry but we continue to see the strongest performers and as well as the stand-alone agents choose our company just because of the total value proposition. And I would say that especially with the changes happening in the industry right now, I think a lot of them and again, I'm just quoting what I'm seeing anecdotally on social media, feel a very strong comfort known that we're fully scaled. We're fully operational all these markets. We have the staff and the brokers and the systems to support their business. Because at the end of the day, the company they're choosing to hang their license with is that platform that allows them to operate their business and I think sustainability and operational excellence is a very important part of that decision tree.
Thomas White: Got it. That makes a lot of sense and is very helpful. Maybe just on that topic of kind of the industry change. I'm sitting here in Las Vegas right now at the Inman conference, I saw Kendall Bonner on stage earlier. She's super impressive the first time I'd heard her. But the August 17 kind of is a hot button topic as you can imagine. Leo, I know you've been like super kind of close to this and creating -- generating a bunch of content and stuff like that. Can you just -- like at a super high level, you don't need to go two in the weeds, I guess, but unless you want to, but talk about like what are like the best practices or specific like protocols that you guys are encouraging with your agents that maybe do they differ in any kind of meaningful way from what everyone else is doing? Because that's one of the main things that I struck me today that I don't know, it doesn't seem like everyone is following everyone's got different terms on their buyers rep agreement, paperwork and exclusive versus nonexclusive visual and sounds a bit messy, as you mentioned. Thank you very much.
Leo Pareja: Yes, the messy [ph] is the best way to describe it. And I've been saying that since March, and then subsequently on that live I did in May, where I've been trying to brace the industry because this kind of collective pulling of their head out of the sand didn't have this no moment that we're kind of witnessing specifically this week, I would say. And by the way, I was at in yesterday and I just moved back so I could be home and in front of my computer to do this with peace and quiet. So we've made a stance about no more broker commission share as exactly as stated in the settlement agreement on Paragraph 19 and again, if the seller wants to offer compensation to a stellar directed to buyer broker, that's perfectly okay. I actually spoke about the subject yesterday, and Kendall is a phenomenal addition to the team that I was happy to have as we're going through this transition. But I would just -- I did an interview for time this morning, associated press and doing one for CN next week. The material changes that people need to be hyper aware of is buyers are being required to sign a buyer brokered agreement prior to touring and executing a purchase contract and the touring part is even the harder part of the conversation because like this is not an eXp policy. This is squarely out of the NAR settlement agreement. And what I was saying very clearly at Inman and I said it today on a live I did is that it all comes down to your forcibility and the MLSs are the ones targeted to enforce this and the earlier signs that they're going to do it through punitive penalties. So agents could be subject to $2,500 fine, $5,000 fines with immediate deletion of their listings and some have kind of already floated the fact that they may be even suspending agents. So we've been obsessed with this, and you guys have all heard me talking about this without cause since the news broke in March. And so for us, it's been a very offensive strategy of education. And again, anecdotally, while I was at Inman yesterday, I got stopped by many independent brokers who came up to me and said, you're the only one articulating this clearly. The gentleman who just joined us that the press release went out, Matt, out of Missouri. He specifically was shopping for this, operational excellence, true broker understanding. Not only did he interview me and our position, my understanding of it, he wanted to talk to Holly Mabery VP of Operations and [Indiscernible] our SVP of transactions and like really start getting down to the Nadegree [ph]. I think I said it on the last earnings call, Tom, I fully expect 6, 12, 18 months from now as this messy metal plays out, where folks are probably going to be fatigue from the breakage and the headaches with it and also probably tired of the actual -- like if you read the press release from Matt in Missouri, he specifically said, I didn't want the liability. And I just -- I wanted to partner with an outlook that understood this partner because I think it's going to be probably more meaningful in total than folks are giving an attention to right now.
Thomas White: Great. Very helpful. I’ll get back in the queue. Thanks.
Denise Garcia: Thanks, Tom. We'll take our next question from Matt Filek at William Blair. Matt, if you had a question, you can go ahead.
Matthew Filek: Hey everyone. You have Matt Filek on for Stephen Sheldon. Thank you for the questions. No agent churn continues to largely stem from lower producing agents, but curious if you're starting to see some churn among the top producing agents as well? And just related to that, can you remind us on some of the incentives you have in place to help retain those top producing agents.
Leo Pareja: That's a great question. I don't know that we had it in the presentation deck, but the numbers are maintaining where the disproportionate amount of churn is focused around our non-productive agents, at the top side of the industry, there's always the outliers who move with incentives, and we are no different in attracting them. But to reference your exact question, the Boost program, which we developed, I think, last October with Michael B. that we brought over is the incentive that we're using for small to midsized independents. Again, I think a perfect example of that was the press release we made today. And again, our sweet spot is that small to midsize independent who runs a similar model, right? So we are not -- we have not traditionally have historically been a perfect fit for a flat fee brokerage, for example, because that creates quite a bit of breakage since we do have a split. But we're constantly evaluating, making sure that we're being competitive in the market and reacting to the landscape that's...
Matthew Filek: Got it. That’s helpful. And…
Kent Cheng: I don't want to add. We have a slide on the fireside chat depth in the appendix, right? In Q2, 75% agent that left ESP have 0 to 2 sell transaction. So a majority of the departure agents are a very low producing engine.
Matthew Filek: Perfect, thank you Kent. And then I just wanted to follow up on a question, Tom had on the competitive landscape. Just curious, would you ever consider tweaking the agent compensation structure to further enhance the attractiveness of the platform from the agent's perspective? And if you were to consider such changes, what could they possibly look like?
Leo Pareja: Yes. So I can't comment on a specific material change. I will tell you that we're constantly looking at it. And I think a good example of that is what we did with REV Share 2.0, which has received massive positive reception from agents with us and the ones that joined since there were folks that literally said that was why they got off the fence in the last quarter. So we're always looking at that. But I would caution that making sure that you're not giving away the farm and then creating a not sustainable business model, which is what I think a lot of the competitors who are trying to be us have done in the sense that their core business, especially once you take out REV Share and stock-based competition, which I don't think they disclosed as clearly as we do, but we actually do an analysis of our competitors and do that there's a lot of our competitors who their gross margin is sub 4%, 5% in their core business mathematically just can't ever get to profitability. And so they're banking on ancillary services are yet to be proven economic models to be their growth engine. And I just think it's very dangerous to create a model that never gets to profitability as we've seen so many examples in the last decade of well-funded disruptors who are no longer around or struggling to be around because of that.
Matthew Filek: Got it. Leo, that makes sense. I’ll jump back in the queue.
Denise Garcia: Great, thanks. I'd like to invite anyone in the audience who would like to ask a question to go to slido.com and enter EXPI if you want to submit a question or just scan the QR code that's on the right-hand side of the stage and the screen behind us. So we haven't gotten any questions yet. So I'll go to Jonathan Bass from Stephens. Jon, I think you might have a question. You can open your line and go ahead.
Jonathan Bass: Yes, thank you Denise. This is Jonathan on for John. So looking at the OpEx line and stripping out a one timer from last quarter, it looks like OpEx decreased modestly from 1Q despite a much higher REV base, so that's great. Can you guys help us frame out frame up how we should think about OpEx for the rest of the year? And then I think you touched on this on the call, but are you guys still on track to deliver that $6.8 million of profit improvement each quarter for the rest of the year?
Kent Cheng: Maybe let me address that question. So we don't guide to the quarterly OpEx, but I will call your attention to a few items right. Given the success of the international business, we expect to continue to invest in December in second half. Now we also expect mid-single-digit increase in SG&A in second half versus first half of 2024 due to annual adjustment of employee salary coming of the eXp current expense and ongoing legal costs related to antitrust loss. Given the June's low point of system home sales, right, we are not the election of the U.S. and interest rate certainty, we expect some pressure on the revenue side. So this is more as a general guideline, we see in second half, particularly in the SG&A side. What's your second question? Jonathan?
Jonathan Bass: Are you guys still on track to deliver the $6.8 per quarter of the profit improvement?
Kent Cheng: Yes, we are on track. The overall the full year is $20 million cost improvement. Yes.
Jonathan Bass: Perfect. And as a follow-up, maybe for you, Glenn, given your focus on the international business of late. Could you maybe highlight what markets performed well in 2Q 2024? And what markets you're most excited about?
Glenn Sanford: Yes. So the -- we've got a lot of countries really picking up some good steam. South Africa is probably one of our really significant growth parts of the company, I think we were just voted, I believe the most agent-friendly brokerage in South Africa by some independent agent agency. I don't remember the exact turn, but it was kind of -- it was a cool accolade. We're getting a lot -- we're now -- we're the fastest-growing brokerage in the history of real estate there, similar to what we've done, obviously, in the U.S. Canada and some other countries as well. But South Africa, U.K., France, Spain, we should have another pretty significant high-volume team in Portugal joining here in the short run. But what we are doing and which is we're actually going back to -- there was a question about agent value proposition. Earlier which I think was more geared toward domestic, but we're actually going back to each country and reevaluating do we have the right value prop mix for that country because every country is different. Some of the tools and technologies that we've rolled out initially, while good for the brokerage, meaning that it helped us sort of streamline some operations type elements, weren't as agent friendly as we need them to be. And as a result, it created a challenge to grow in those countries. And what we found is the countries who have adopted more localized systems and tooling. And some of that has to do, quite frankly, about the real really amazing leaders that we have in some of these countries but they've been very consistent that here's the platforms that we need to use, and we've adopted those. And in a lot of cases, that actually resulted in a change in our trajectory in those countries. So we're going through evaluating the agent value proposition, evaluating country leaders. We're also evaluating how we're actually comping in-country leaders. We're actually moving more to an incentive-based model rather than a salary-based model. So that should lower our cost to operate in country in the early stages or given that scale. So pretty excited about that. And so those are some highlights on the international front. We'll have some other ways to -- for those who are interested in international, we get more visibility as to how we're doing there. But that's -- it feels like the early days of EXP internationally.
Jonathan Bass: Got it. Thanks for taking my questions.
Denise Garcia: Sure. And we do have one question from the audience on Slido. The person asked. Over the past year, it looks like many of the executives in eXp have sold stock, none have bought any, and I had a couple of agents ask, is that a red flag.
Glenn Sanford: I'll just comment on -- for me personally, I have a 10b5-1 plan in place that has historically targeted between 3% and 5% of my holdings being sold in a given year. So obviously, take me a lot of years to sell. So that's probably and I'm still by far, the single largest shareholder. So it's not like I'm done paying shares but it is creating a little bit of cash flow for me personally. I think most of the other folks, I think we had a couple execs on last year did sell all of his position and then left actually about the company. So that would be another one. But I think for the most part, it's very modest in terms of the selling that's taking place.
Denise Garcia: Thanks, Glenn. That concludes our question-and-answer session. Thank you, everyone, for joining. As always, please stay connected by visiting eXp World Holdings for the latest updates on eXp News results and events. Additionally, you'll find a recording of this call and our latest investor presentation on the Investors section of the site. This concludes eXp World Holdings Second Quarter 2024 Earnings Fireside chat. Thanks for joining.